Martine Hagen : Good morning, and welcome to Hydro's Third Quarter 2024 Presentation and Q&A. So we will start off with the presentation from our President and CEO, Eivind Kallevik; before our CFO, Trond Olaf Christophersen, will take us through the financial results. After teat we will have a Q&A session. [Operator Instructions]. After presentation, I will read your questions out directly to Eivind and Trond Olaf. But before that presentation, and then I leave the word over to you, Eivind.
Eivind Kallevik : Thank you, Martine, and good morning, and welcome from me as well. As always, I will begin with what is our single most important responsibility, the safety and well-being of our people. At Q3 last year, we shared the tragic news that we have suffered not one, but twofatalities during the run-up to the presentation. Likewise, in the second quarter this year, we reported yet another fatality this time at Alamos. The common denominator between these three fatalities is that they all have at plants, which consistently and over time have been top performers in terms of low incident rates. Statistics are statistics, that give us a picture of the overall performance, but they absolutely do not offer a guarantee that incidence won't happen in the future. So safety requires our constant attention every day and every hour by every employee. Consistent improvement and low incident rates on all key indicators is good to report on, but my message to our organization is clear. Even if you have had 0 incidents in the past year, there is always room for improvements. You may just not have that specific risk on your radar. Having a low incident rate is good because it frees up time to identify these risks and constantly improve the way we work. For the third quarter, we reported EBITDA of NOK7.4 billion with a free cash flow generation of EUR1.7 billion. The upward trend for our key revenue drivers continued into the third quarter, supporting the solid results we now see from the upstream activities. Conversely, pressure on downstream activities continued also this quarter. But these are now being counted with mitigating measures, both in recycling and in extrusions. And extrusions are pushing forward on their improvement efforts, aiming to enhance their robustness as they continue to face weaker core markets. In energy, we are pushing forward with the execution on renewable ambitions with the Illvatn pumped storage project passing the investment decision this quarter. Following a more challenging market for battery materials as well as an assessment of the strategic fit for Hydro, we have reduced our ownership in Vianode and we will provide no further capital to the company going forward. On the commercial side, we reached a milestone in our strategic partnership with Mercedes, signing a collaboration agreement on sustainable development in the state of Para in Brazil. And I'll come back to this later. If we then look to the revenue drivers, which continue to be volatile during Q3, the three-month aluminum price on the LME increased throughout the third quarter and is currently trading at levels above $2,600 per metric ton. This boost is much driven by the recently announced Chinese monetary policy measures aimed at stimulating economic activity and enhancing consumer estimate -- sentiment. While strong demand growth from China is pushing prices upwards, it's been -- and has been the main catalyst for improvements, we continue to see demand in North America and Europe remaining more sluggish. Alumina prices have been the most significant driver with spot PAX during Q3 averaging some $507 per ton. This is a 17% increase as compared to the second quarter of 2024 and is up 51% as compared to the same quarter last year. And the current PAX is trading at some $685 per ton. And this development is in large part driven by a combination of alumina refinery disruptions as well as bauxite supply challenges. Now according to CRU, we are looking at the net deficit in alumina of 7.6 million tons in 2024. This, combined with the rising primary aluminum production is pushing prices upwards and gives us a good speed into the fourth quarter of this year. While we see markets are driven by variables typically outside our control, our main focus is to push forward on the things that we control ourselves. As such, continuous improvement and especially the improvement programs and commercial ambitions are the most important tools we have to mitigate weak markets and maximize the value creation potential in the company. And I'm really happy to report that we are ahead of the schedule on the 2024 improvement targets, leaving us well positioned towards the 2030 target of NOK14 billion. Likewise, we are progressing above target on our commercial ambitions, leveraging on the greener products that we produce and sell in the market with Hydro CIRCAL now being sold out despite the fact that we see an overall weaker market. So to keep focus on improving operational and commercial excellence is key for the robustness and our ability to continue positioning Hydro for the long-term value creation and the opportunities that we see in the marketplace. In this quarter, we have seen really good results from the procurement improvements in Aluminum Metal as well as the activities we do in extrusions. Finally, the Alunorte fuel switch is coming close to full conversion, yielding substantial savings in costs as well as carbon emissions. We now have six boilers and four calciners converted with the remaining three calciners on track for the completion by the end of the year. When full conversion has been done, we are looking at cost savings in the range of $160 million to $190 million per year. And in addition to that, we will also reduce CO2 emissions by some 700,000 tonnes. And for us, this is an excellent example of how sustainability and profitability can go hand in hand. And creating value on the back of the green transition is what the strategy towards 2030 is really all about. So if we look beyond the current market downturn, the long-term trend is clear. Demand for greener materials and greener energy is expected to be in high demand going forward. And Hydro is already a leading player in this market when it comes to sustainability. And this strategic direction is all about making the gap between Hydro and our competitors even larger as the race for greener position continues towards the end of the decade. To position the company for the long-term value creation opportunities, we are stepping up growth investments in recycling extrusions to capture the market opportunities emerging from the green transition. We are executing on the ambitions within renewable power generation, and we are executing on the decarbonization and technology road map while stepping up the efforts to contribute to a nature positive and just transition. And finally, we are leveraging to some of these efforts to shape the market for greener aluminum in partnerships with strategic customers. The slowdown we are experiencing, particularly in the building and construction and in automotive continues to put upward pressure on scrap prices. And this is really due to the lower scrap generation in a low economic activity environment. Reduced demand on the one hand, combined with higher scrap prices on the other hand, put heavy pressure on recycling margins overall. But in the longer term, we are confident that the fundamentals and business case for growth in recycling remains strong. In our view, the growing pool we see from customers accompanied by a push from regulators creates a landscape of opportunity for creating value in the recycling space in the longer term. Likewise, we see increasing interest in the role of recycling to counter import dependency in several regions. Building a remelting facility in and by itself is not a unique capability. So for us in Hydro, the key to creating value lies in our ability to source and sort complex scrap and utilizing it across multiple product outlines. This is where we have the capabilities that are currently unmatched in the industry, and this is where we can influence margins the most. Hence, we are continuing to invest in and expanding our capacity to sort complicated aluminum scrap. This quarter, we started commercial operations in the U.S. through our joint venture with Padnos in Michigan. Likewise, we have two HySort facilities under installation in Poland at the Nowa Sol plant. And excellence in procurement and sorting really supports our margins, both in the current type market, but also supports long-term profitability and robustness in Hydro's recycling business. As with recycling, extrusions demand is heavily impacted by the headwinds we see, in particular, in Europe and North America. Hydro Extrusions is actively navigating a challenging market addressing weak demand across the business area. Leveraging the production flexibility and pushing cost-cutting programs is supporting margins in the short term. But at the same time, we are continuing to push forward investments for long-term robustness as well as value creation throughout the network. An example of this is the recently opened automated press, which is replacing two older presses at the plant in Cressona. This price will increase cost efficiency without necessarily pursuing market share growth, reducing the manning need to record compared with the two presses it replaces. So we do continue to pursue the NOK8 billion EBITDA target but it will require support from the market in the range of NOK2 billion to NOK3 billion, including volume growth about 20% from what we see today and remelt margins returning to historical averages. Access to affordable renewable power is at the core of pursuing our ambition of pioneering the green transition of the aluminum industry. Hence, and according to what we presented at Capital Markets Day last year, we are pursuing investments aiming to strengthen our captive supply of renewable power. And this quarter, we have made an investment decision for the Illvatn pumped storage plant in Luster here in Norway. Here, we aim to generate some 84 gigawatt hours renewable power annually. While at the same time, we will improve the flexibility in our production portfolio. So in line with our strategic ambition of supporting decarbonization efforts with renewable energy, while continuing to strengthen value creation from our hydropower assets through profitable upgrades and expansions. Construction here, we expect to commence in 2025 with the plant being fully operational as we transition from 2028 into 2029. Capital allocation and priority supporting our strategic agenda is something that we constantly assess and address as we execute on the 2030 strategy. Following a more challenging market for battery materials as well as an assessment of the strategy fit for Hydro. We have reduced the ownership in Vianode to 19.9%, down from 30%. The agreement with the private equity firm, Altor also includes a mutual put/call option for the remaining 19.9% shares to be exercised no later than February 28 in 2025. While Vianode is on a growth journey to supply the battery industry with much-needed low-carbon graphite, Hydro will provide no further capital to Vianode. Hydro has a very clear strategic ambition towards 2030 and we will continue to allocate capital towards the projects supporting this agenda. We will revert to all of you at the Capital Markets Day with an update on the strategy and our priorities towards 2030. For the quarter, we are then taken an impairment in total of approximately NOK1 billion related to Hydro's investments in Vianode, around NOK 600 million impacting the reported EBITDA and roughly NOK400 million impacting finance expense relating to shareholder loan in Vianode. On a more positive note, we reached a new milestone in our strategic partnership with Mercedes this month. On September 23, Hydro and Mercedes-Benz joined forces to collaborate on the long-term program to promote positive impacts for people in nature in the state of Para in Brazil. Building on the existing strategic partnership with Mercedes, we are extending our product collaboration beyond the pursuit of low-carbon materials to also include a broader approach to sustainability in our common value chain. So together with leading Brazilian NGOs, we aim to protect human rights, create income opportunities in local communities, restore nature and develop low carbon value chains in the regions surrounding Hydro's bauxite pipeline in Para. In addition to deepening our collaboration with Mercedes-Benz, this is also an immense acknowledgments of the position of Hydro through the efforts of our B&A organization that they have attained through delivering results from sustainability and social initiatives over time. This extension of the partnership with Mercedes-Benz is really a strong example of how leading customers are increasingly valuing low carbon, but also sustainable aluminum solutions, supporting the notion and ambition we have of green earnings uplift potential towards 2030 in the range of NOK2 billion. And with that, let me give the word to Trond Olaf for a run-through of this quarter financials.
Trond Olaf Christophersen : Thank you, Eivind, and good morning from me as well. So starting with the aluminum market. The aluminum market has seen significant developments in recent months and marked by increasing supply constraints and rising prices. The combination of alumina refinery disruptions and bauxite supply challenges has driven market tightness, and the outlook remains sensitive to further production issues. In the third quarter of 2024, the global alumina market experienced continued tightness with prices approaching historical high levels, and prices continued to increase into October. This was largely due to additional supply disruptions with further pressure on alumina availability. According to CRU, the global alumina market is expected to face a net deficit of 0.6 million tonnes in 2024. Several events in the quarter have impacted an already tight market and Hurricane Beryl caused extensive damage to the port facilities of refinery in Jamaica, reducing shipments during the quarter. More recently, uncertainty related to refinery production in India, along with the suspension of bauxite exports from the mine in Guinea has compounded the supply challenges. These disruptions have pushed alumina prices close to all-time high. China continues to face restrictions on domestic bauxite mining. And despite increasing production rates, strong demand has kept the market undersupplied. In addition, smelter inventories in China remained below average and Chinese alumina prices have recently reached record high in local currency. And despite these challenges, China continued to be a net exporter of alumina. Looking ahead to the fourth quarter, the alumina market is expected to remain tight, both in China and globally. And the market will remain highly sensitive to any further production disruptions. And to restore balance, it will be crucial to resolve recent issues and that scheduled project ramp-ups in Indonesia and India proceed as planned. In China, overcoming the ongoing challenge with bauxite availability will be key. And alumina prices are currently well supported and could rise further if production continues to be impacted by these disruptions. And the market stability will largely depend on how quickly supply side challenges are addressed in the coming months. Then moving on to the aluminum market. In Q3 '24, the economic outlook continued to improve, reducing the risk of recessions and we saw the first interest rate cuts by the Fed amid easing inflation. Global primary aluminum demand increased by 2% year-on-year in the third quarter, primarily driven by a robust 3% rise in demand from China. In contrast, the European and North American aluminum markets faced declines of 2% and 1%, respectively, due to challenging economic conditions. To stimulate growth in sectors such as building and construction and other industrial activities, further interest rate cuts may be necessary. The robust demand in China is primarily fueled by the renewable energy sector and the electrical vehicle market, more than offsetting a weaker demand from the Chinese building and construction sector. Projections indicate that overall primary aluminum consumption in the country will continue to grow steadily. The lower right figure on this slide illustrates the aluminum intensity across various energy technologies. Highlighting aluminum's role as a green transition metal in renewables and particularly solar energy. The figure on the top illustrates a continuous rise in primary aluminum production in China and that this is now approaching the capacity cap set by the Chinese authorities. The Chinese government's robust commitment to decarbonizing electricity production and reducing emissions from the aluminum sector supports our belief that the capacity cap will remain in place. So to satisfy the increasing demand, imports and recycling aluminum will play a crucial role. Then moving downstream. And in Western markets, extrusion demand continued to be challenged in both Europe and North America during Q3. European extrusion demand is estimated to have decreased by 7% in Q3 '24 year-over-year and decreased 21% compared to the second quarter, partly driven by seasonality. Automotive extrusion demand remains weak due to low electrical vehicle sales and production in Europe and especially in Germany. Demand in the Building & Construction and Industrial segments have remained moderate after summer with no clear signs of improvement, although lower interest rates may support demand out into 2025. Extrusion demand has been relatively better in Southern Europe, while demand in Germany continues to be weak. Looking into Q4 '24, CRU estimates that the European demand for extrusions will decrease 6% compared to the same quarter last year. And overall, European extrusion demand is estimated to decrease by 9% in 2024 compared to 2023. Moving to North America. Extrusion demand is estimated to have decreased by 4% in Q3 '24 compared to the same quarter last year and decreased 7% compared to Q2. The Transport segment continues to be particularly weak, driven by lower trailer build rates. Automotive demand is facing headwinds due to weaker sales of electrical vehicles. Demand continues to be soft in the Building & Construction and Industrial segments. However, underlying demand is expected to gradually improve in 2025 driven by lower interest rates. In North America, extrusion demand is estimated to decrease 2% in Q4 '24 compared to the same quarter last year. And overall, North American extrusion demand is estimated to decrease by 4% in 2024 compared to 2023. Looking at our volumes. Hydro Extrusion sales volumes declined 8% in Q3 '24 year-over-year. Transport volumes have been particularly negatively impacted by weaker shipments in the truck and trailer markets in the U.S. In Q3, we also saw that our automotive sales declined in both Europe and the U.S., driven by moderating production at some carmakers and weaker-than-expected sales to electrical vehicle. Growth for sales volumes in B&C and Industrial has turned positive in Q3, although from a very moderate base given the market headwinds over the last two years. Then moving to EBITDA. And when looking at the results Q3 versus Q2, we see the positive effects of strong improvements in upstream pricing contributing with NOK2.5 billion. We saw an upstream raw material cost increase of approximately NOK340 million. The major drivers were the higher alumina costs partially offset by lower carbon costs in Aluminum Metal and positive fuel switch effect in B&A. The downstream segment experienced a negative development with lower extrusion sales, which is partly seasonally driven, contributing negatively by close to NOK500 million and reduced margins in extrusion and recycling of approximately NOK200 million. Energy experienced a slightly positive development, where higher production was roughly offset by lower price and price area gain and higher costs. Furthermore, the quarter was impacted positively by lower fixed cost of NOK300 million, largely driven by B&A and extrusions. Positive NOK200 million currency effect impacted Q3, mainly driven by weakening of BRL versus U.S. dollar. The final negative effect of NOK440 million is mainly related to Other & eliminations. The increase in eliminations this quarter itself amounted to approximately NOK385 million on the strong improvement in B&A margins. These strong margins are eliminated on the Hydro level until the internally sold alumina has been converted to aluminum in Aluminum Metal and sold to external customers when the positive margins are finally realized. CO2 compensation for Q3 was approximately NOK800 million, which was at the same level as in Q2 and this concludes the adjusted EBITDA development from NOK5.8 billion in Q2 to NOK7.4 billion in Q3. If we then move to the key financials for the quarter. Comparing year-over-year, revenue increased by approximately 23% to NOK50 billion for Q3. Compared with Q2, the revenue decreased by approximately 2%. For Q3, there was around NOK1.4 billion FX adjusted out of EBITDA, which includes mainly unrealized derivative effects on LME contract of NOK907 million and impairment charges of NOK581 million from Vianode, partly offset by net foreign exchange gains of around NOK140 million as well as other effects resulting in an adjusted EBITDA of NOK7.4 billion. Moving on, we recorded depreciation expense around NOK2.5 billion in Q3, resulting in adjusted EBIT of NOK5 billion. Net financial expenses for Q3 totaled NOK1.9 billion, driven largely by an unrealized currency loss of approximately NOK1.1 billion due to the weakening of NOK against the euro. Additionally, financial expenses included NOK1.2 billion related to debt servicing and the loan impairment to Vianode. These costs were partly offset by NOK437 million in interest and other financial income. We have an income tax expense amounting to NOK217 million for Q3 '24. The quarter was mainly impacted by power surtax and positive results in Brazil in the quarter, offset by losses earlier in the year. Overall, this provides a positive net income of NOK1.4 billion, up from the negative NOK625 million in the same quarter last year and flat on the NOK1.4 billion in Q2. Adjusted net income was NOK3.5 billion, and consequently, adjusted EPS was NOK1.49 per share. Let's then give an overview per business area, starting with the B&A. Adjusted EBITDA for Bauxite & Alumina increased from NOK93 million in Q3 '23 to NOK3.4 billion in Q3 '24. This was mainly driven by higher alumina price, lower raw material costs, partly offset by increased alumina sourcing costs and decreased sales volumes. Compared to Q2 '24, the adjusted EBITDA increased from NOK1.6 billion, mainly driven by higher realized alumina price. Results were further lifted by lower raw material costs, mainly driven by fuel switch implementation. Further, fixed cost was lower by approximately NOK200 million. For Q4, Alunorte's output volume is expected around nameplate capacity. In addition, a higher realized alumina price should continue to impact our results positively. We expect a relatively flat raw material costs with the positive contribution from pure switch, which is contributing to ramp-up during Q4 will be offset by increase in other raw materials. Fixed and other costs are expected to increase by NOK400 million to NOK500 million, driven by postponed spending from Q3 as well as seasonally higher maintenance costs related to Paragominas. Moving on to Aluminum Metal. Q3 adjusted EBITDA increased from NOK1.3 billion in Q3 '23 to NOK3.2 billion this quarter. The increase is mainly driven by higher oil and metal prices and reduced carbon costs, partly offset by higher alumina costs and higher fixed costs, largely driven by inflation. Compared to Q2 '24, adjusted EBITDA for Aluminum Metal increased from NOK2.5 billion to NOK3.2 billion, thanks to higher all-in metal prices, reduced carbon costs and seasonally lower fixed costs, partly offset by higher alumina costs. The raw material cost increase we guided in Q2 ended lower than expected, roughly at NOK250 million driven by higher alumina costs offset by stronger-than-expected carbon cost release. We saw positive FX effects of around NOK170 million, driven by weakening NOK against euro impacting cost positively. Aluminum Metal also benefited from a positive impact on alumina costs of approximately NOK215 million due to our strategic hedging program. The hedge price of around $400 per tonne alumina covers the volume of aluminum covered under the hedging strategy. Fixed costs were seasonally lower by about NOK100 million, which is expected to be reversed in the next quarter. This brings me over to the guiding for the next quarter. LME has increased since Q2 and are expected to continue to impact positively the revenue side in Aluminum Metal. Premiums have stabilized and are expected to remain at similar levels as Q3. For Q4, Aluminum Metal has booked 71% of primary production at $2,445 per tonne, including the effect of our strategic hedging program. Furthermore, we have booked 42% of premiums affecting Q4 booked at $507 per ton, and we expect realized premiums in the range of $380 to $430 per ton. On the negative side, we expect further increase in raw material costs, driven by alumina of between NOK850 million to NOK950 million. However, as for Q3, a portion of this increase is expected to be offset by our strategic alumina hedge with a quarter-over-quarter hedge effect estimated at around NOK300 million. Carbon costs are expected to remain stable. However, seasonally lower fixed costs in Q3 are projected to return to normal levels in Q4, resulting in a negative quarter-over-quarter impact on NOK100 million. We also expect the sales volume to remain stable. Adjusted EBITDA for Metal Markets decreased in Q3 from NOK568 million in Q3 last year to NOK277 million, mainly due to lower results from recyclers and negative currency effects, partly offset by positive results from sourcing and trading activities. Lower results from recyclers were due to reduced margins in the weak market, combined with tight scrap availability. Excluding the currency and inventory valuation effects, the result for Q3 was NOK375 million, down from NOK566 million in Q3 '23. Compared to Q2 '24, adjusted EBITDA for Metal Markets decreased from NOK309 million, mainly due to lower results from recyclers, partly offset by higher results from sourcing and trading activities. Recycling results were heavily affected by a further increase in scrap prices. In addition to the drivers above, the recycling results were negatively affected by seasonally lower sales volumes. The outlook for Q4 continues to be challenging as we expect recycling margin continue to be squeezed on the lower scrap availability, keeping margins low. At the moment, the recycling margins are at an all-time low level and we expect those to return to normalized levels over time. However, as mentioned earlier, interest rate cuts may be necessary to foster positive growth in sectors like building and construction, which is an important sector, both for scrap supply and aluminum demand. For our commercial area in Q3, we expect lower contribution from sourcing and trading activity. Again, as always, reminding of the inherent volatility of the trading and currency events. Following the latest developments, we have decided to further adjust our guiding for 2024 full year adjusted EBITDA for commercial, excluding currency and inventory valuation effects to a range of NOK700 million to NOK900 million. Then moving to Hydro Extrusions. In extrusions, the adjusted EBITDA decreased year-over-year from NOK1.3 billion to NOK879 million, driven by lower sales volumes, lower recycling margins, partly offset by higher sales margins. General inflation pressure on fixed and variable costs was partly offset by cost measures. As mentioned earlier, we saw 8% lower sales volumes, which were partly compensated by higher margins. Lower EBIT margins negatively impacted the results with around NOK330 million as recyclers continue to be pressured with low billet premiums compared to the elevated scrap prices. Compared to Q2 '24, adjusted EBITDA for extrusions decreased from NOK1.3 billion due to seasonally lower sales volumes. Looking into Q4, we should look towards the same quarter last year to capture the seasonal developments in extrusions. Compared with last year due to continued soft extrusion markets in both Europe and North America, we expect lower sales volumes. As mentioned earlier, external sources estimate a decline on the volume year-over-year of 2% for North America and 6% for Europe. We also expect continued strong extrusion margins, but the remelt margins continue to be under pressure. Combined with the higher cost, we expect the negatives to be more than offset the positives in Q4 when comparing year-over-year. The final business area is Energy, where the adjusted EBITDA for Q3 decreased to NOK626 million compared to NOK762 million in Q3 '23. The main drivers behind the lower results were lower prices and lower gain on price area differences. These were partly offset by a positive impact from the expiry of an internally fixed price purchase contract from Aluminum Metal at a significant loss in the same period last year. Compared to the first quarter, adjusted EBITDA remained relatively flat. Higher production was partly offset by lower prices and lower price area gains. In the second quarter, external power sourcing volumes continued to be affected by disrupted volume deliveries from a long-term power purchase in Markbygden, Sweden. The nondelivered volumes were 0.3 terawatt hours in Q3 '24 and 2.5 terawatt hours accumulated since the beginning of the disruptions. We continue to seek compensation for the nondelivered volumes. Looking into Q4, as always, we should be aware of the inherent price and volume uncertainty in energy. For next quarter, production volumes are expected to be on a similar level while power prices are expected to increase with seasonality into the winter. Furthermore, we expect the price area differences results to be higher than in Q3. In Q3, we had approximately NOK 30 million in price area results. Let's then move to the final financial slide in this quarter. Net debt decreased by NOK1.5 billion since Q2 based on the starting point of NOK16.2 billion in net debt from Q2, the positive contribution for Q3 was NOK7.4 billion in adjusted EBITDA. During Q3, we saw an increase in net operating capital of NOK1 billion, mainly driven by the increased inventory in the upstream business and a reduction in accounts payable in the downstream business. Under Other operating cash flow, we had a negative NOK1.4 billion, mainly driven by mark-to-market reversals, tax payments, net interests and other accruals. In the investment side, we have net cash effect investments of NOK3.3 billion. As a result, we had a positive free cash flow of NOK1.7 billion in Q3. Furthermore, we have also started a new NOK2 billion buyback program approved at the AGM in May, of which NOK140 million was executed in Q3. Finally, we also had negative effects in Other of NOK100 million. And moving on to adjusted net debt, we start by adjusting for the following items. Hedging collateral and Other has increased since Q2 '24 with NOK200 million, mainly explained by an increase in collateral related to short-term operational hedging positions of NOK400 million, partly offset by NOK200 million reduction of cash on escrow as mentioned. Since Q2 '24, net pension liabilities have increased by NOK200 million. And finally, we have a reduction in other liabilities of NOK100 million since Q2 '24. And with these adjustments, we end up with an adjusted net debt position of NOK25 billion at the end of Q3. And with this, I end the financial update and give the word back to Eivind.
Eivind Kallevik: Thank you, Trond Olaf. So to finish off today's presentation, let me really sum up the priorities for us going forward. The health and safety of our people always comes first. In the past 12 months, we have been painfully reminded that statistics are not a reflection -- or a reflection of the past and not a guarantee for the future. We do have a very ambitious business agenda going towards 2030. However, if we push forward without keeping our people safe, we will not succeed. So continuous improvement in terms of safety is at the very top of the agenda. Downstream markets are challenging. But fortunately, we now see the effects of the improvement efforts for the past years. We cannot really control the markets, but we can always and will always seek to improve how we run our business and strive for operational excellence. And hard work pays off. This enables us to manage the short-term challenges in the market, while continuing to push forward on our agenda for the long-term opportunities that we see in Hydro. As such, we are continuing to push forward on the ambitious agenda for growth in recycling, extrusions and renewable energy. This in order to position ourselves for the long-term value creation opportunities we see in the market. And here we believe Hydro is uniquely positioned to capture value. We are continuing to push forward on the decarbonization agenda. Succeeding on the decarbonization agenda is crucial not only to maintain, but to enlarge the gap between Hydro and the competitors in the growing market for low-carbon aluminum. And this, finally, will enable us to continue to seize the opportunities in the emerging market for greener aluminum at premium pricing, creating long-term value for shareholders, society and for our employees. So thank you all for the attention. And then I will hand it back over to you, Martine.
A - Martine Hagen : Thank you. [Operator Instructions] I see that we have already received some questions, so we can start the Q&A. First question is from Amos, recycling EBITDA was negative in Q3. How should we think about the road map to improving profitability here?
Eivind Kallevik: So I think as we indicated, there are two factors that we need to follow. So obviously, the price of scrap, and that's very much driven by the expected return of economic activity, as you will see more refurbishments of houses and office buildings and public institutions that will also generate more scrap as people get back into the automotive market to buy more cars. All the cars will also be producing more scrap. So it's really -- part of it is down to economic activity. That drives scrap generation and should drive scrap availability. And the second part of it, economic activity should then hopefully also give us some stronger premiums for extrusion ingots, for instance. So it's really those two components that you need to follow going forward. Obviously, we will do what we can in terms of making operations more streamlined, more efficient at all points in time, optimizing where we produce different types of products.
Martine Hagen : And then we have a question from Liam. On CapEx, is the NOK15 billion to NOK17 billion still a reasonable level for 2025 plus any material currency translation effect since the guidance was provided?
Eivind Kallevik: So I think overall, the way you should think about it is we have guided for NOK15 billion to NOK17 billion. That still stands. And if there's any updates to that, we will come back to that topic at Capital Markets Day. But for now NOK15 billion to NOK17 billion is a good guidance.
Martine Hagen : And then we have another question from Amos. On extrusions volume guidance of 4% in 2025. S&P is forecasting auto demand, minus 1% in Europe, North America. That implies construction needs to grow roughly 8%. Is that realistic?
Eivind Kallevik: Well, the way we see this, we do expect continuous economic growth. We'll start to see economic growth coming back in, at least that's the expectation in Europe and North America coming back in 2025. And then typically, what we see is that extrusion volumes, extrusion demands increases by a higher factor to GDP growth. So I think you need to look at, again, it's back to -- do we expect GDP growth to come back in at what level. And then extrusion demand comes on top of that.
Martine Hagen : And then a question from Matt. The B&A Q4 increase in fixed cost, roughly an increase of NOK400 million to NOK500 million. What is driving this increase? And does it relate to trading/marketing?
Trond Olaf Christophersen : No. So in B&A, part of the fixed cost is also driven by projected activities. So it's really sort of a seasonality or prioritization effect that you saw lower fixed costs in Q3 and then a catch-up in Q4. So there's no sort of dramatic development in the fixed cost level in B&A.
Eivind Kallevik : And not related to trading activities.
Trond Olaf Christophersen : And absolutely not related to trading.
Martine Hagen : And then we have a question from Daniel. Is the additional NOK1.2 billion of CapEx spend for Illvatn project included in the guidance?
Eivind Kallevik : Yes, it is.
Martine Hagen : Another question from Daniel, how much cost benefit did you realize in Q3 from fuel switch? And how do you expect in Q4? You're guiding to flat raw material costs in B&A in Q4 with benefit from fuel switch offset by higher other raw materials. What are the key drivers of Other raw materials are all of the benefits from fuel switch which reflected in the Q4 cost run rate?
Eivind Kallevik : So fuel switch is still progressing according to plan. So we still expect that to be completed by the end of the year. We had roughly $20 million of benefits in the second quarter. The number for third quarter is roughly $30 million, and then we expect to realize $40 million for the fourth quarter, giving us an annual run rate in the range of $160 million to $190 million.
Trond Olaf Christophersen : Yeah. Not a lot to add to that, Eivind. So it's the raw materials offsetting the lower cost due to fuel switch share.
Martine Hagen : And then we have a question from Bengt. Low production at Paragominas. What was the reason behind the weak production?
Eivind Kallevik : So in third quarter, we had some maintenance on the pipeline, which means that we have to take down production for that maintenance period. And then when we look into Q4, we expect again, a normalized level of production for Paragominas and shipment of bauxite.
Martine Hagen : And then we have also received some questions over e-mail. No, here it actually came on the chat as well from [indiscernible]. Which end markets drive the 3% to 5% year-over-year increase in extrusion volumes in 2025? And if current market conditions persist, is NOK4 billion a reasonable EBITDA level for 2025? And last question, at spot prices, shall we expect Eliminations EBITDA line to moderate in Q4?
Trond Olaf Christophersen : So starting on the end markets, it's a sort of a general development in the key markets for extrusion driving demand. Building and construction is of course, very important. And if you look at the total market in Europe and the U.S., it's roughly 50% of the market or at least close to 50%. So that will be an important driver for increased demand for extrusions in 2025. For 2025, I will not give any guiding on extrusions for next year. And when it comes to the elimination part, again, I mean the reason we see this negative elimination, which is actually a positive effect it is basically the positive results in B&A that we eliminate. While this is inventory still in Hydro until we sell the metal that we produce from that alumina out of Hydro. And typically, if you see stable alumina prices through the quarter, you will not have an elimination effect. And then you will have negative effect if you see high increases in alumina prices through the quarter as we have seen now in the last two quarters.
Martine Hagen : And then Bengt had another question on the chat here. Could we expect any fixed cost reversal in B&A in Q1 2025?
Trond Olaf Christophersen : Yeah. No. In general, what we see is that fixed cost is now increasing in line with the inflation also in B&A. We have -- it sort of looks like a big increase in Q4. But again, as I said, it's more prioritization effects, lower project activity in Q3 and then the catch-up in Q4. So we are back to inflation levels is what we see as the underlying growth trend in fixed cost for B&A as well.
Martine Hagen : And then we have another question from Matt. Torija final build decision still expected in second half '24?
Eivind Kallevik : Yes. We still plan, we're still working to have the final build decision. Torija is a really exciting project. We have just outside Madrid, very close to Torija plant that we have, and it's very much in line with the 2030 strategy that we have in terms of growing in recycling, building more capacity in terms of taking more post-consumer scrap. So yes, we still need to expect that, that will happen in -- the decision we've taken in 2024.
Martine Hagen : And then we have also gotten a question over e-mail from Jason, Bank of America. Thoughts on the alumina market. Is it as tight as it looks? And can you please remind us of your net position in alumina?
Eivind Kallevik : So Jason, yes our perception in the way we read this, the alumina market is really tight. It's driven by constructions -- as we have seen in the market, both in Australia as well as most likely in some issues in India as well. And then, of course, Alcoa closed one of the plants, which was announced in Australia. That, coupled with some bauxite shortage or less bauxite, less high-quality bauxite in China, and the export of bauxite issue out of Guinea, as Trond Olaf referred to, that gives us a very, very tight market now that we go into Q4. And our perspective is that, that will still remain tight for the fourth quarter. Now a couple of refineries are expected to open and ramp up, two of them, one in India and one in Indonesia. And of course, those also needs to be executed flawlessly but also 2025 looks relatively tight from a historical perspective.
Martine Hagen : And then we have another question from Liam on extrusions. Based on where you see the market in 2025, do you expect the NOK 1 billion growth uplift to come through?
Trond Olaf Christophersen : Well, again, back, Liam, I will be careful to give any guiding on next year for extrusion. But as Eivind presented, we are really dependent on recovery in the extrusion volumes and also normalization of recycling margins in order to see the improvements in extrusion. So it's really those are the 2 main components to follow when it comes to extrusions.
Eivind Kallevik : If I can just add from little bit more helicopter view. I think when you look at the extrusion results, if you sort of split it in three , so recycling margins, the volume and extrusion margins. We still see very solid extrusion margins in the business that we do. And of course, that's an incredibly important starting point for when the market picks back up. And then as we talked about for recycling in Aluminum Metal, you need to see a normalization of scrap cost and you need to see normalization of premiums. And then it's back to the economic growth in the market. So if you split it into those three, one of them, which is the core part of extrusion, remains very solid going into 2025.
Martine Hagen : And then we have another question from Daniel expected dividend payments to minorities?
Trond Olaf Christophersen : No. So no specific comments to expected dividend payments when it comes to minorities. We have some moving effects affecting the debt bridge this quarter. Specifically related to Albras in the other operating cash flow. But those are the main items in this quarter affecting the net debt levels.
Martine Hagen : And then I see Magnus is typing, but so far, there's no more questions in the chat. There, we have another question. Magnus, your extrusion volume seems to be down more than CRU's market assessment. At the same time, your margins are holding up quite well. Are you giving away market share to protect margins? And will those customers come back to Hydro once the market normalizes?
Eivind Kallevik : So there's a couple of new answers to this. if you take the U.S. extrusion market, for instance, we are very exposed to what we call commercial truck and trailer. And that market has been down quite significantly in 2024. That market, we do expect to come back in '25 and in '26 as new regulations will come into play a couple of years from now. So then we expect demand to pick up before those regulations come back in. We also exposed to building and construction, in particular, in Europe. And we all know the construction activity in Europe, in particular, in some of the larger and northern parts of Europe. Germany is lagging in this market. Iberia, southern parts of Europe is still remaining stronger and there, we do see some positive indications. But it is, for us, very important to maintain as much of the extrusion margin as we can because when the market turns, we have a good starting point. And for those of us who have been in this business for a while, know that when we give up margins, it is also really, really hard to get back even in a more positive market sentiment.
Martine Hagen : Then it looks to be no more questions. Just give it a second. No more questions on the chat or e-mail. So then I think we ended there. So thank you all for joining us today. And if you have any further questions, please reach out to Investor Relations. I wish you all a continuous nice day. Thank you.